Operator: Good morning, ladies and gentlemen. Welcome to the Dream Unlimited Corp. Second Quarter 2025 Conference Call for Wednesday, August 13, 2025. During this call, management of Dream Unlimited Corp. may make statements containing forward-looking information within the meaning of the applicable securities legislation. Forward-looking information is based on a number of assumptions and is subject to a number of risks and uncertainties, many of which are beyond Dream Unlimited Corp.'s control that can cause actual results to differ materially from those that are disclosed in or implied by such forward-looking information. Additional information about these assumptions and risks and uncertainties are contained in Dream Unlimited Corp.'s filings with the securities regulators, including its latest Annual Information Form and MD&A. These filings are also available on Dream Unlimited Corp.'s website at www.dream.ca. Later in the presentation, we will have a question-and-answer session. [Operator Instructions] Your host for today will be Mr. Michael Cooper, CRO of Dream Unlimited Corp. Mr. Cooper, please go ahead.
Michael J. Cooper: Thank you, operator, and good morning to everybody. Today, I'm with Meaghan Peloso, who will provide a CFO report, some comments on the financials in a few minutes. I'm going to start with a little bit of an overview of the business. And after that thought, I would try to connect the dots on what the financial benefits are of what we've been doing this year. In the press release, we referred to the approval of 1,200 acres of land at Regina, which is a big deal. This is land that we've been accumulating over years. We have a lot of holdings in Regina many years ago. Maybe 10 years ago, they had a heavy storm, and it was obvious that they didn't have enough storm sewers. A lot of this has been corrected, and the infrastructure is going to be in place to start this community. And it will probably take us 20 years to build out the 1,200 acres. But once we get going, it will be a pretty steady addition to our activity in Western Canada. In Saskatoon, similarly, we've made a lot of progress on Holmwood. Holmwood is 1,100 acres. I think we're going to go through it faster than Coopertown in Regina. And we've got a school site that we've referred to a couple of times that's going to have 3,400 students, and that's going to get going in 2026. In addition to that, we sold some commercial land. We have a couple of hundred acres of commercial. In that 1,100 acres, we've got the first 27 sold, which is going to be a game changer for the speed that we get through the land on the northwest part of that development. We've already got further calls from potential buyers of other land in the commercial. So what we're going to do is we're going to start with the school site and the commercial, and both are going to grow at the same time. And I think it's going to lead to us getting through a lot of land relatively quickly, which will produce a lot more profits in the next number of years. So those are major, major advancements for the company. In Alpine Park in Calgary, not major changes, but we're advancing very well and a good absorption there overall and great pricing for homes, great pricing for the land. And we're getting through the 200 acres that we put $93 million in starting 18 months ago, which was the biggest amount of money we've committed to front ending in the history of the company, and it was a very, very difficult time to commit that money, but that's proving to be money very well spent. So we've got those 3 communities that look like they're going to continue for many years to produce income. And I think it's going to lift the income that we generate from Western Canada. So we talk about our 3 segments, Western Canada, income properties and asset management. Western Canada is shaping up really well to produce increasing income over the future years. On the income properties, we're getting close to 1,000 units, which are completed or under development, with most of them finishing by 2026. That's up from like 69 units 7 years ago. So that's been a huge change, and we're now building -- most of the things that we do out there average about 125 units per building. And now it looks like we're starting to -- start 3 a year. So I think that's going to be a pretty consistent pattern. It's going to add up a bit. And our income properties in Western Canada, we're building to a 6% cap. Financing, we just did the financing now between 3.6% and 3.7%. So there's a good margin. We're still continuing to see good growth. And I think that Western Canada land will do well. I think our income properties in Western Canada will do well, and we'll do well predictably and will grow quickly. Income properties in Ontario, we got the Distillery District, which is also doing very well. And some of the purpose-built rental, the value-add is doing pretty good. We're getting more turnover. Rental rates have softened in Ontario. And -- but overall, the income properties are doing quite well, led by what we're doing in Western Canada and the Distillery District. And our asset management is up $2.5 billion of assets since prior years. And there, what we're looking at doing is increasing the assets under management and increasing the margin. And overall, we think the better days are ahead. Those are the 3 major areas of our business. It looks -- in other, which is sort of where we have other things, obviously. We've got the office REIT, which looks like it's getting better. Impact Trust, which has some of the most innovative and desirable assets in the whole company, has been struggling in the stock market. It's at the epicenter of some of the issues around the housing crisis and trying to get land into development, which we're making good success at, but it's working very poorly in the stock market, but we're focused on continue to grow the assets, but it's not a big part of Dream's value, but it's a very important part. And we got 3 hotels that 2 are doing great. One just opened, and we're working through that. And we've got 3 sites that are great. We've got one adjacent to Distillery that would become part of the Distillery. It's been held up because of the Ontario line. We've got one -- the last site at Canary, which is a great site. You can't start it now, but it's wonderful. We got that as part of doing the Pan Athletes Village. So our cost is really just an allocated amount. And we also have Broadview and Eastern, which is like 100 meters north of the new East Harbor GO and subway station for the Ontario line. All of our sites are improved by the Ontario line. So we're not really doing much on it. Interest costs aren't much, but there'll be future growth. But going back to the beginning, the majority of the business, the vast majority of the business value and cash is coming out of Western Canada, income properties and asset management, all of which are trending better. Meaghan, would you like to say a few words?
Meaghan Peloso: Thanks, Michael. Good morning, everyone. So with our second quarter results, we've introduced new segment reporting, which is largely in line with how we presented our results as part of our AGM presentation back in June. With the changes we've made, we think it better reflects how we view and manage the business, and we'll continue to work on simplifying disclosures to make them easier to understand. Overall, it was a fairly quiet quarter results-wise, which was in line with our expectations as most of our income will be back ended this year. I'll walk you through our segmental results and explain how we presented them at a very high level. We presented operational results under the 4 main headers, asset management, income properties, Western Canada development and other investments. Within our asset management segment, we've included all of our public-private contracts across the Dream vehicles, which includes the 4 public vehicles and the 6 private funds. In the second quarter, the company recognized revenue and net margin of $11.6 million and $6.9 million, respectively, compared to $27.5 million and $22.8 million in the prior year. Now the comparative figures include performance fees of nearly $16 million related to the Dream U.S. Industrial Fund. Any type of performance or transactional fee typically fluctuates period-to-period based on a specific contract and milestones being achieved. Our income property division includes all the apartments, retail and commercial we hold in our master plan communities as well as in downtown Toronto, such as the Distillery District. As of June 30, we had $883 million of income properties on Dream's stand- alone balance sheet, reflecting only our direct ownership. In the second quarter, income properties generated revenue of $12.2 million and NOI of $6.8 million, up slightly from prior year, largely due to the ongoing lease-up of our purpose-built rentals. With the strong pipeline of apartments under construction today, we expect earnings from this segment to grow as buildings are completed and reach stabilization. Our Western Canada development segment relates to our land and housing division in Alberta and Saskatchewan. In the quarter, we achieved 44 lot sales and 19 housing occupancies, generating a net margin of $1.1 million. Prior year results included the sale of 146 acres of land in Edmonton, which generated revenue of $39.5 million and net margin of $28.1 million. Excluding the sale, margin was actually relatively in line with prior year, though because of the product mix sold in each respective period. Land development typically has a seasonality component to it. And similar to other years, we expect most of our income from Western Canada to be back ended in 2025. Lastly, our other investment segment is where we carry unit holdings in Dream Office, Dream Impact Trust and the Impact Fund as well as Dream Residential REIT. We also present our landholdings in Toronto and the National Capital Region, more specifically Zibi and Odenak, and the associated G&A cost for our Eastern Canada development team. In the comparative period, we also included operating results from A-Basin, our former ski hill, which was sold at the end of 2024. This segment generated $14.8 million of revenue and $4.5 million of negative net margin in the second quarter. Fluctuations in revenue and earnings year-over-year were driven by earnings from the ski hill and condo occupancies from IVY and Phase 2 of Riverside last year. Effective with our Q2 reporting, we've also started to fair value our unit holdings in the Dream entities in our stand-alone results. Previously, this would have been an adjustment to get from book equity to NAV. The P&L results for this segment would also have included a fair value adjustment for the units in the respective quarters. Lastly, we ended the year with $345 million of liquidity and very modest near-term debt maturities, positioning us very well for the remainder of the year. With that said, I'd be happy to answer any specific segment presentation questions off-line once everyone's had time to actually digest the information. So please don't hesitate to reach out. With that, I'll turn the call back over to Michael.
Michael J. Cooper: Thank you, Meaghan. When I was looking at this quarter's results, last year, we had a lot of activity in Western Canada. We had some joint ventures. We had an incentive fee in asset management. So we had a really strong first quarter. We actually had a very strong year last year. This year, it's more weighted towards the end of the year. And I thought maybe I could express to you, when I look at company, I try to understand over the longer term and use it to guide how I think we're doing. And I don't know if you -- I don't know if interested parties will find it interesting or helpful, but I thought I might as well try. So here goes. We mentioned in the supplementary materials that we have about another 500 acres in Alpine Park. And that 500 acres are likely to take about 10 years. Right now, between profit and the cash we get from the book value of the land, we're getting over $700,000 an acre. That's about $350 million over 10 years. So over that 10 years, we should be looking at $35 million a year from Alpine Park. Holmwood, we've been talking about -- I talked about just before, it's 1,100 acres. I wouldn't be surprised if it's 15 years or so to get through it. There, we're getting over $300,000 an acre in land profit and profit plus the land. So that's about $330 million. But in 15 years, that's about $22 million a year. And now with Coopertown, it should be a little lower but still around $300,000 an acre. 1,200 acres is about $360 million. But we said there that it's going to take about 20 years. So that's about $18 million. So these -- just these 3 active developments should average maybe $75 million. I'm using constant dollars, very simple calculation. But that should be about $75 million of land profit. And we have other activities, so we should be higher than that. So I think what we're doing is we're now getting to a higher level of activity and a higher level of profit in Western Canadian land than we have been just because we're going to get so much more of our lands underway. Now in 2013, we had about 10,000 acres of land, and we pretty much stopped buying land after that. We now have 8,700 acres, so that includes having sold 500 acres. So you can see that we're using up land but relatively slowly. The other thing that's interesting is the value of our lands in total are higher now than they were when we had 10,000 acres. So to put it a different way, at Alpine Park, we have 500 acres on our East component. We have another 1,000 or 1,100 in the West. As we go to Alpine Park, and we realize the value of the lands, the other 1,000 to 1,100 acres will be increasing in value as it gets closer to development and there's some level of inflation. So even over the next 5 or 10 years, as we're using up the land that we're talking about, I think our value will be consistent for the land, might be higher as we generate about $75 million of development profits or development cash a year. So I think that's very exciting for the future that it's looking as good as it is. That doesn't include anything for the 1,900 acres in Saskatoon that we also have. We got 2,000 Regina. We've got Harbour Landing West that I don't know when we'll start it, but it's about another 1,200 or 1,300 acres, and we'll get to that, and that land will continue to go up in value as we develop our Coopertown. So I think we got a lot of land. I think we're going to spend a little bit of money to grow the land in some places, but I don't think we're going to need a lot of cash to add to our land base. And I think that business is in great shape. In Western Canada, the Prairies, people seem to make enough money to afford their lifestyles, and it's going really well. In Alberta, even with the changes in immigration, they've had over 2% growth in population this year. Saskatchewan is at about 1.8%. Ontario is about at the average for all the OECD countries between 50 and 60 basis points. So I do think it's kind of a head fake that the immigration is reduced in Canada. While that's true, we're still having our country grow in population as good or better than pretty much any developed country. So there's definitely demand. I think Saskatchewan and Alberta are going to benefit more than other parts of the country. And I think that's going to suit us really well for the development business. Now in Western Canada, we also have an income property business. And generally, we build apartments in Saskatoon of about 125 units. So just to make this easier for my numbers, I'm going to assume that all buildings are 125 units. When we develop a building, we make between $4 million and $5 million of profit on the development. This is based on like, as I said, a 125-unit building, the current numbers. Again, none of this is adjusted for growth or inflation. But we now have 1,000 units more or less. It's like the equivalent of 8 buildings. And I think we're going to be starting about 3 a year, and that might be one apartment plus the equivalent in townhouses and single-family residential in Saskatoon and starting a building a year in Calgary. So we have the equivalent of 8 buildings by 2026 and '27. We'll go to 11 over the next 5 years. We'll get to the equivalent of 23 buildings or almost 3,000 units. The development profit a year will be about $12 million, which is the low end of the $4 million of building times 3 is $12 million. Each building, we generally have about $2 million of net operating income and $1 million of interest. So we end up with, give or take, $1 million of income. So if we've got 8 buildings, that's $8 million. So for 2026, we should have $12 million of development property profit, about $8 million of income. And then just with 3% growth in the rents, that should add another $8 million of value. So that ends up being about $28 million of value coming out of our income properties in 2026. And just using that formula, that's going to grow by like $6 million a year over the next 5 years. That alone will get us to about $58 million of profit, $23 million alone of net income. And during that time, we'll be paying down some debt. So Western Canada is going to be a huge driver of our income property portfolio, and that's looking really good. And I think we mentioned in our press release that we've been leasing up Brighton -- the third building in Brighton. And it's 125 units. The first occupancy was June 1. We're up to 88 units already. We do not have incentives at this time. And that building was a little bit under budget, a little bit sooner than budgeted occupancy, and it's leasing up quicker than we had budgeted. So things are working pretty well there. Our townhouses are fully leased, except for a couple of units, and our single-family rentals are fully leased. So I think we're going to see a very programmatic, predictable value creation through that income property business in Western Canada. Asset management is a little bit simpler in that it's how much assets you have and what your margin is. We're working on increasing the assets. We're working on increasing the margin, and we may be spending a little bit more money for attracting funds by adding to our team to deal with investors. But it's been going pretty good, and $2.5 billion increase over the last 12 months is pretty steady. The third category is income properties. And I mentioned Western Canada, which is going to become an increasing component of it. The Distillery continues to perform well. The NOI is growing consistently. Just as a side, we bought that for $36 million in 2004. We profited from the development of 1,400 condo units over that time. And what we have left is, I believe it's on our books now for $316 million. And it's an example of how value is created in income properties if it's a relatively steady growth. And I think we're going to see the same type of thing in Western Canada. And Distillery's got lots of legs. We and others are developing more apartments around it and condos. And I think we'll see it become increasingly valuable. With Zibi, we're building out a lot of apartments. They're leasing up. It's coming along pretty well. The headwind there is uncertainty around what the cap rates are. So going back to Western Canada, we're building to a 6% cap, financing at 3.6%. There's a huge margin, good uptick on profits, building at lots of cash flow. Where in Ontario, it's -- we're building to lower cap rates, and rents have softened a little bit, but it's okay. It's just not as programmatic to do the math on it. But we're pleased with the developments there. And we think over time, we're going to see NOI increases. Our Toronto value-add, we're getting a lot more turnover. Rents are softened. But there, the base tenants who stay in place and the value-add, they got the government allowed increase. And then the rent -- the market rent only affects the turnover. So what we're seeing now is we're actually getting more turnover. So there's big increases for them. There's more units that are increasing, but the market rent might be $100 less than we thought it would be. But overall, that adds to our net operating income, so it's not too bad. And Dream doesn't have a lot of direct exposure to purpose-built rental in the city right now. As I mentioned earlier, we got some pieces of land that we'd love to do later. The other core categories where all the noise is, that's where we have the office units, and there's been pressure on it, but I think it's doing better now. That's where the interest in Impact. We have 3 downtown Toronto sites, which I mentioned earlier. But I think the total value of the business is really driven by those 3 categories. Western Canada is -- we've got lots of evidence as to why it's doing better, and we'll continue to do better. The income properties, we can see how that's going to continue to do better as buildings are completed and the rents. We get the development profit. We got the net operating income buildings that are finished, and we see some growth. So overall, we're pretty excited about how the company is doing. And that doesn't mean that there's areas that don't need a lot more work. Hopefully, there'll be upside that will match the work that's needed. But I think that it will become much more apparent over the next couple of years, the steps that we've taken on these 3 segments and how much value they're adding to the company. I hope that provides some insight. Meaghan and I are trying very hard to be able to present the company in a way that investors can understand it better. Happy to talk to people in more detail if they would like, and we'd love your feedback. Operator, we would be happy to answer questions at this time.
Operator: [Operator Instructions] And the first question will come from Mark Rothschild with Canaccord.
Mark Rothschild: Michael, one of the areas that you focused on a lot in the past few years was increasing liquidity in Dream Unlimited. How are you thinking about the company's liquidity now? And how is that leading towards your thoughts on capital allocation over next year, whether it's towards buybacks, putting money into other areas, you spoke about improving Office, or maybe there's opportunities with Dream Impact?
Michael J. Cooper: Yes, it's a great question because we've got a decent amount of liquidity. And most of what I've been referring to doesn't require much capital. Western Canada produces capital every year. Our income properties, we're literally putting -- for each 125-unit building, it might take $2 million of cash. We're doing $3 million a year. That's like $6 million. And Zibi requires a bit more cash. And that's about it. So you mentioned Impact. As I said, we've got great assets in Impact. Dream has a keen interest in those assets, how the vehicle does, and also, a lot of what we do with government is in Impact. So we're watching that one very closely. We're making a lot of progress, and we've laid out elements of our plan going forward yesterday morning in a press release. And I think that Dream is -- we'll be really looking to be supportive to Impact Trust basically by recycling capital potentially and maybe trading some assets out of Dream Unlimited that aren't as good as maybe some assets we can buy to provide liquidity at Impact over time. I don't think it's going to be major numbers. But I think on the margin, we're happy to support Impact, and we continue -- we want to continue to have history with the assets within Impact. And buybacks, we bought a couple of hundred thousand shares this year. I would expect we'll continue to buy back stock at a measured pace, maybe 1% of the company a year.
Mark Rothschild: Okay. And then just on the comment, maybe this is more for Meaghan, that income moving more back end of this year. Is that mostly just from lot sales in Western Canada? Or is there anything else of note that will contribute to that?
Meaghan Peloso: No. I would focus on the Western Canada piece. It's the lot sales that will come in, in Q3, Q4.
Michael J. Cooper: There's also anchored sites, parcel sites.
Operator: Your next question will come from Sam Damiani with TD Cowen.
Sam Damiani: Just to sort of pick up where you left off with Mark. Just in Western Canada, you budgeted sort of revenue and sort of committed earnings -- revenue for this year has increased quarter-over-quarter. Are you seeing any concerns about end user demand for home purchasing? I'm just curious how the builder inventories are if they're in good shape. Just how do you think about the volumes and the pricing going into 2026, given the further increasing activity you're seeing this year?
Michael J. Cooper: Yes. I think it's -- sorry, what was the last part of your question?
Sam Damiani: Just how that sort of builds into your outlook for 2026, lot home sales in Western Canada.
Michael J. Cooper: So I think that Western Canada has been stronger than both the developers and the builders have thought over the last couple of years. So builder inventories are very low. And this year, started good, slowed down. July was better than most Julys, but we're still trying to figure out what normal is given what's happening. And I think 2026 will be good no matter what because the builders just need to have enough inventory to have enough different styles or whatever. So I think we're very comfortable with 2026 numbers. The real question will be, as we get through 2025 and into 2026, will the builders feel that they need a lot more for 2027 or just a bit more? So I think it really is a 2027 question. Right now, there's been a bit of nervousness in a way, but the volumes aren't bad.
Sam Damiani: Excellent. That's very helpful. Maybe just over to asset management. There's definitely sort of steady growth there, lots of verticals. I'm just wondering how your outlook is today for AUM growth today maybe versus 6 months ago and how you see growth either changing into 2026.
Michael J. Cooper: Yes. I sighed as you asked that because there were a couple of things we were very excited about that didn't happen, but we probably have more irons in the fire now. So the issue is it's just so much harder to predict what's likely to happen. And we were just talking about this yesterday at the Board meeting where it's like you could do a big transaction. It moves the needle a lot and then nothing happens for a while. But you don't know if the next day, a big one is going to happen or not. So we kind of feel there's sort of an organic growth that comes just with what we have going on. And then you have the new mandates. And I think that whether it's the second half of '25 or early into '26, we expect to have something new. But it's really hard to sort of lay out what we think is likely.
Sam Damiani: Okay. Great. That's helpful. And just with the press release yesterday morning, or I guess perhaps even, I guess, the night before, with CentreCourt, obviously working together to kickstart 49 Ontario, number one, but you are looking at other projects, other opportunities. How wide is this net that you're casting with CentreCourt?
Michael J. Cooper: It's a great question. I think that with CentreCourt, we could look at doing some buildings, buying land at the current market value and doing market value apartments. We will be building more like CentreCourt's model where the money raised from third parties. So we'll see how much appetite there is for that. In addition, the fall economic statements coming out, I'm not sure, but I think it's going to be like a budget. There is a tremendous amount of communication between the real estate sector and the federal government on what's needed to advance apartments. I would say that the big trend is away-from-home ownership into respectful living, which could be affordable housing in good quality buildings or market rent. And CentreCourt has been exceptionally successful building condos, but that's a smaller part of the market now. So I think that's their motivation to work with us. One of the things we've done a lot is focused on how do we work with government policies to accelerate the growth of purpose-built rental. And I give that all as a preamble because there have been a number of significant ideas floated by the federal government that could have a big impact on the economics of developing apartments. So we're -- one of the things that we're really focused on with CentreCourt is how to be ready for the changes that come. And until we see those, we don't know what's likely to happen. But -- sorry, the scale of things, but we're happy with 49 Ontario. It's ready to go. So I think that fits in really well with CentreCourt. And then we will look to see where you can get desirable-enough returns to convince investors that they want to invest. And I say that it sounds like that's an obvious thing. But what's been happening is it's just so difficult to get new projects going that people who own land are developing and they're getting an okay return, but not a good enough return to attract new money. So I think that's what we're really going to try to do with CentreCourt is identify opportunities where the returns are compelling for people who are making an initial investment, not developing on existing land. Does that make sense, Sam?
Sam Damiani: It does. That's very helpful.
Operator: [Operator Instructions]
Michael J. Cooper: That's enough, operator. Is there another question?
Operator: No, sir. No questions. I was concluding the question-and-answer session and handing the call back over to Mr. Cooper for closing remarks.
Michael J. Cooper: Thank you, operator. Thank you for questions. Once again, if anybody else wants to speak to Meaghan and I, we're always available, and we look forward to providing an update next quarter. Be well.
Operator: This brings a close to today's conference call. You may now disconnect your lines. Thank you for your participation, and have a pleasant day.